Operator: Good morning. And welcome to Bally’s Second Quarter 2021 Earnings Conference Call. All participants’ lines have been placed in a listen-only mode to prevent any backgrounds noise. After the speaker’s remarks, there will be a question-and-answer session. I will now turn the call over to Bob Lavan, Vice President -- Senior Vice President, Finance and Investor Relations. Please go ahead.
Bob Lavan: Good morning, everyone and thank you for joining us on today’s call. By now, you should have received a copy of our Q2 earnings release, which we issued earlier this morning. If you haven’t, the earnings release and presentation that accompanies this call are available in the Investor Relations section of our website at www.ballys.com under. With me on today’s call are George Papanier, our President and Chief Executive Officer; Steve Capp, our Chief Financial Officer; Craig Eaton, our General Counsel; and Adi Dhandhania, our Senior Vice President of Strategic and Interactive. Before we begin, we would like to remind everyone that comments made by management today will contain forward-looking statements. These forward-looking statements include plans, expectations, estimates and projections that involve significant risks and uncertainties. These risks are discussed in the company’s earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements. In addition, during today’s call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP financial measures are included in the schedules contained in our earnings release. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project special charges within certain expenses. Today’s call is also being broadcast live on our Investors site and will be available for replay shortly after the completion of this call. Prior to turning it over to George, please note in our quarterly filing materials, we revised our reporting segments to better align with our strategic growth initiatives, primarily our focus on the high value high growth North American Interactive business and the pending acquisition of Gamesys. As of June 30, 2020, the company now operates under three segments. Our each segment is comprised of farming [ph] brick-and-mortar locations, Twin River Casino Hotel, Tiverton Casino Hotel, Dover Downs, Bally’s Atlantic City, and Tropicana Evansville. Our West segment includes Hard Rock Biloxi, Casino Vicksburg, Kansas City, Bally’s Black Hawk, Eldorado Resort Casino, Shreveport, Bally’s Lake Tahoe Casino Resort and Jumer’s Casino Hotel. The other businesses consist primarily of our Interactive businesses, including SportCaller, Monkey Knife Fight, Bet.Works, AVP and our mobile and online sports betting operations, as well as Mile High. I’ll now turn the call over to George.
George Papanier: Thanks, Bob. Good morning, everyone, and thank you for joining us. During the quarter, improved consumer confidence, minimal capacity restrictions and our discipline operating strategy all contributed to extremely strong numbers across the Board. This quarter we have safely welcome back many of our loyal patrons across our brick-and-mortar locations and are confident that we will continue to benefit from rebounding demand as we approach and exceed historical operating levels across our land base portfolio. Total consolidated revenue for the second quarter was approximately $267.7 million. We also achieved record adjusted EBITDA for the second consecutive quarter of approximately $83.8 million. Similar to the first quarter incremental revenues from recent acquisitions contributed to positive results. Our destination properties have outperformed and are above historical levels, including Biloxi, Shreveport and MontBleu, renewed focus and expansion of table games accelerating our long-term plans of Kansas City. Our Lincoln property delivered more than $25 million of quarterly EBITDA despite for long COVID limitations, which is in line with our expectations of performance posts on core impacts. Dividend continues to grow in line with our expectations. All other properties outperformed other than Atlantic City, which turned the corner in July and should continue to perform better as a property continues its planned capital investments into the property. I’m also happy to say that trends have continued in July and early days in August. Our each segment recorded revenue of approximately $132.4 million and adjusted EBITDA of $41.6 million. These increases are driven primarily by strong results at our Rhode Island properties, which combined contribute approximately $33 million in adjusted EBITDA for the second quarter. Our Dover Downs property also had strong results and adjusted EBITDA of approximately $10 million for the second quarter, even with rent starting in June. Our West segment recorded revenue of approximately $127.9 million and adjusted EBITDA of $52.1 million. These increases were driven primarily by the Shreveport and Kansas City acquisitions in the second half of 2020 and contributed a combined approximately $25 million in adjusted EBITDA for the second quarter, coupled with strong results at our Hard Rock Biloxi property, which contributed approximately $19 million in adjusted EBITDA for the second quarter. Now I’d like to provide a quick update on the brick-and-mortar acquisitions we completed this quarter. On April 7th we acquired Bally’s Lake Tahoe Casino Resort, formerly known as MontBleu Resort Casino and Spa from Caesars for approximately $14 million. We believe this property represents a premier asset that expands our geographic reach of providing an attractive West Coast destination that Bally’s will utilize to drive cross-marketing visitation to Tahoe. On June 3rd we acquired Tropicana Evansville from Caesars for $140 million. Importantly, through this transaction, we acquired the unencumbered rights to Indiana sports betting and iGaming skins, which will provide us with greater access to this growing gaming market. Additionally, given the structure of the transaction, no cash outlay was required at the closing. On June 14th, we acquired Jumer’s Casino & Hotel from Delaware North for $120 million. The transaction will also allow Bally’s to capitalize on lucrative sports betting opportunities by further expanding our geographic footprint into the rapidly growing Illinois gaming market. In addition, we have pending Land Based acquisitions in Tropicana Las Vegas casino, which we agreed to acquire from GLPI in April of this year. Importantly, the acquisition requires no cash outlay from Bally’s at closing and is expected to be accretive to Bally’s shareholders long-term as we expect EBITDA on the property to be in the mid-20s after short-term targeted CapEx and then grow from there. We’re excited about the longer term potential and a cross market opportunities we have and we will provide incremental information once we acquire the property. We continue to expect the acquisition to close in early 2022. Turning now to capital expenditures, we continue to make progress on our $40 million redevelopment initiatives at Bally’s Kansas City Casino, which includes a physical expansion of the property that will feature national restaurant brands, in addition to new amenities and retail offerings located in the expansion facility. We also recently kicked off the properties formal rebranding by changing its name from Kansas -- Casino KC to Bally’s Kansas City Casino, replacing its exterior signage and implementing our new value rewards player club program. Lake City we continue to execute our $100 million redevelopment projects, which will occur over the next five years. In addition to reopening the permanent FanDuel sportsbook location within the property, we have also incorporated and planned vibrant new restaurant types of concepts, which we expect will contribute to the overall guests experience and drive increased visitation. As for Rhode Island, on June 11th, the governor signed into law legislation that aims to preserve and enhance Rhode Island’s gaming revenue. Legislation allows for the information of a 20-year joint venture between Bally’s and IGT that will create a license VLT provider to supply all gaming machines the Rhode Island division of lotteries, Bally’s Twin River Casino Hotel and Tiverton Casino Hotel. As a licensed VLT provider, Bally’s now owns and leases 23% of the gaming floor machines to the Rhode Island division of lotteries in exchange for 7% of net terminal income. Beginning January 1, 2023 Bally’s own and lease 40% of the gaming floor machines subject to further increases based on machine efficiency in exchange for 7% of net terminal income. We expect to spend up to $15 million this year on purchasing VLTs in Rhode Island, which is immediately accretive and provides us more control over slot floors. Lastly, we kicked off this summer with the rebranding initiative and investments in order to create a single national customer database. For the next 12 months, all of our casinos other than Hard Rock Biloxi will be rebranded Bally’s, increasing awareness of the brand and providing the company opportunities to send local customers to our destination casinos, as well as a national player database and incentive program. With that, I’ll now turn it over Adi to provide an update on our Interactive business. Adi?
Adi Dhandhania: Thanks, George, and good morning, everyone. Since our last call, we have significantly developed and diversified our Interactive business, and are very pleased with our progress to-date. Leveraging Bet.Works proprietary technology stack, we’ve launched live beta versions of our Bally Bet Mobile sportsbook in two states, beginning with Colorado on May 24th and then Iowa on June 29th. In its beta stage, the Bally Bet platform offers sports betting fans not just access to betting options for all major sports, but including a variety of unique and innovative features, exclusive in app parlay games and integrated social offering. Given its beta launch, we are now supporting the launch with an advertising push at this time. We are proud of our tech team’s efforts to launch markets so quickly post our June closing of Bet.Works. That being said, with the near-term closing of the Gamesys acquisition, we’re concentrating resources from rolling out Version 1.0, developing our 2.0 Version which combines Bally Bet OSB with the Gamesys iGaming suite of products. We expect to see that product rolled out in early 2022, including our iGaming product in New Jersey. With respect to our strategic media partnership with Sinclair Broadcast Group, we continue to receive strong feedback on the performance of the Bally’s sports RSN, as well as the recently launched Bally’s Sports app, which represents the first phase of major investment we’re making across the digital ecosystem to drive increased engagement for fans. We will also able to further diversify our operations through the acquisition of association of Association Of Volleyball Professionals on July 12th. AVP is the premier professional beach volleyball organization and the host of the longest running domestic beach volleyball tour in the U.S. The transaction provides us with a significant opportunity to gamify and incorporate Interactive content to beach volleyball, which in turn will drive traffic to Bally’s platforms and promote customer acquisition. I will now turn it over to Steve, Steve?
Steve Capp: Adi, thank you. For the second quarter we reported an adjusted EBITDA margin of 31.3%, excluding Bally’s Atlantic City from the results adjusted EBITDA margin would have been 37.6%, as compared to 33.1% in the second quarter of 2019, and 35.4% in the first quarter of 2021, again, excluding Atlantic City. Atlantic City continues to move in the right direction and we do not expect it to be a significant negative drag on margin going forward, although that market is highly seasonal. With the close of the Bet.Works in late May, our North American Interactive business delivered approximately $6 million of net revenues in the quarter, with slightly negative EBITDA. We expect revenue to grow significantly quarter-over-quarter going forward, while at the same time we expect Interactive EBITDA to be somewhat more negative as we invest in that business. Such investments will not be anywhere close to the levels of our peers, given Adi’s prior comments, and we are seeing an uptick in the Bally’s brand awareness from the recent launch of Bally’s Sports. On the CapEx front, we expect requirements to moderately increase as a result of the properties acquired in the last 18 months. As George mentioned, we have a $40 million redevelopment project underway in Kansas City and we plan to invest $100 million or so into our Atlantic City property over the next five years. In addition, we estimate the total cost of our casino development project in Pennsylvania, including construction, licensing and sports betting iGaming operations to total approximately $120 million. We’re enthusiastic about soon commencing our expansion and capital improvement plan at Twin River Lincoln related to our joint venture with IGT and agreement with the State of Rhode Island. We expect to use cash on hand and cash generated from operations to fund this CapEx. For the first half of this year, capital expenditures were $36 million. We expect CapEx to ramp into the second half of this year, with the plan to invest $90 million to $100 million in the second half, including $15 million to 20 million or perhaps more if possible at each of Bally’s Atlantic City and Twin River Lincoln pursuant to our commitments in each of these states. Moving forward our approach to maintenance and growth capital investment will continue to be focused and disciplined. Now I’d like to provide an update on our financing plans for the Gamesys acquisition. On April 20th, we completed our public equity offering of 12.65 million shares of common stock at a price of $55 per share. Total shares issued include a 1.65 million shares and the full exercise of the Greenshoe by our underwriters. The proceeds from this offering net of the underwriting discount were $671 million, which we intend to use to fund the Gamesys transaction. In addition to that equity raise, we also announced the sale of a warrant to Sinclair Broadcast Group to purchase 909,000 common shares for an aggregate purchase price of $50 million, which will also be applied toward our combination with Gamesys. We also recently disclosed entry into a purchase agreement for the private placement of $1.5 billion in aggregate principal amount of senior notes in two separate eight-year and 10-year series, $750 million in aggregate principal amount of senior notes due 2029 and $750 million in aggregate principal amount of senior notes due 2031. The offering is expected to close mid-August, subject to customary closing conditions. All or substantially all of the net proceeds from the notes offering will be placed into an escrow account with one of the banks that have committed to finance a combination. Upon the closing of the combination, we will assume the role of issuer under the notes and certain of our subsidiaries will guarantee the notes. We also entered into agreements for approximately $1.945 billion of a Term Loan B, as well a $620 million revolver. The maturity of Term Loan B is seven years and the maturity of the revolver is five years. The proceeds of the Term Loan B together with the notes mentioned earlier will be used to fund Gamesys acquisition and refinance our own debt. We look forward to providing further updates on the financing of this transaction on our next call as we move closer to the anticipated closing date of Gamesys. We believe the Gamesys transaction will accelerate our growth strategy to be a premier global omnichannel gaming company and look forward to working with Gamesys seasoned management team to take our operations to the next level. We continue to expect the transaction to close in the fourth quarter of this year. Look forward to sharing additional information on our progress. And with that, I will turn it back over to George.
George Papanier: Steve, thank you. So to sum it up, we are pleased to have achieved strong quarterly results, while expanding and diversifying our collection of Land Based and Digital Gaming assets. We’ve continued to evolve as a company and position ourselves to capitalize on favorable industry trends. We’re confident that the momentum we have demonstrated in the first two quarters of 2021 will carry through to the end of the year. That concludes our prepared remarks for this morning. I will now ask the Operator to open the line for questions.
Operator: [Operator Instructions] We’ll take our first question from Jeff Stantial with Stifel. Your line is now open.
Jeff Stantial: Hi. Good morning, everyone. Thanks for taking our questions. I wanted to start on Atlantic City, you talked about it, clearly, it’s taking a bit longer than expected to begin to drive growth at that properties. I was hoping you’d be able to provide a bit more color here, so just issues with COVID-19 is more of a regional destination market, rather more underlying issues of the after-market you’re working through. And Steve, you touched on this a bit in the prepared remarks, but any expected timeline we should be thinking about to revert back to EBITDA positive and then the $20 million long-term target you previously disclosed would be helpful?
Steve Capp: Hey, Jeff. This is Steve. Listen, as George commented, that property did turn the corner in July and strong trends are continuing into August. So there’s been dramatic improvement there as our ownership is taking hold. But let me kick it to George for any further insight.
George Papanier: Hey. Thanks, Steve, and good morning, Jeff. Listen, thanks for your question. While the property was neglected by the previous owner, but certainly, is a major focus of ours. As we said earlier, we’re going to spend $100 million in capital improvements over the next several years. So, we’re focused on incremental improvements to our performance, which is mainly supported by what I call incremental improvements to the physical property and the rebuilding of higher and databases Caesars effectively pulled out over the last few years prior to the sale. Steve said, we will see profit this third quarter, but will become much more aggressive than promoting Bally’s [inaudible] probably during the first quarter of 2022. And really that’s so that we can align all this aggressive marketing efforts with the physical state of the property. So by the summer of next year, we’ll have a room back online, if the renovation of that, as well as all our restaurant products. So we’re looking forward to really getting to where we can really start promoting the property a lot more aggressive.
Jeff Stantial: Okay. Great. Very helpful. And then switching gears here to the online business here in the U.S., if think about some of the marketing and the development costs that’s going to take to be competitive, how should we think about the timeline to reflect the EBITDA positive for the U.S. and how deep of losses are you open to as you look to begin building out more and more robust user base on the online front? You touched on this a bit of the prepared remarks, but any further color here would be great?
Steve Capp: Yeah. Sure. Jeff, Steve, again. Listen, been a lot of -- there’s a lot of focus on this side of the business, of course, and some of our peers have said that they will invest maybe $1 billion over the next few years. But bear in mind, we already have some of the assets that others will be investing in, right? We already have the back-end and front-end tech stacks with Bet.Works and Gamesys. We already have the Land Based database, and the awareness and impressions from Sinclair and our Land Based casinos. Now, that all said, we will still need to invest. We have a new CEO coming into the business in the coming months and I don’t want to speak for him. But right now, to kind of cut to your question, we expect to burn approximately $10 million into the back half of this year. And that may well increase up to circa 10% of pretax cash flow into 2022. Look, it’s early days for us, Jeff, right, on this front. So as Lee Fenton comes in, that we will put more meat on this bone for you. But that those expectations currently.
Jeff Stantial: Perfect. That’s all for me. I appreciate you putting some parameters around it ahead of Lee Fenton. Very helpful. Thanks for all the color, guys.
Steve Capp: Thank you, Jeff. Appreciate it.
Operator: And we will take our next question from Barry Jonas with Truist Securities.
Barry Jonas: Great. Thanks, and good morning, guys. Maybe George…
George Papanier: Hi, Barry.
Barry Jonas: I would love to start on Land Based trends and get your thoughts on whether the topline and margin trends we’re seeing now feel sustainable?
George Papanier: Hi, Berry. Good morning. Let’s see from a revenue perspective, my feelings improvements over 2019 is sustainable through year end. We may see some retrenching during the winter months, but certainly we’ll be ahead of 2019 and we’ll establish a new base from that point of business, and before -- and then that’s when we’ll start to see what I call kind of a more of a inflationary -- historical inflationary growth pattern from a margin perspective. Listen, as a result of COVID and the force closing, the restart of our operations, we had benefit of building our business model and we’re looking at improved margins for certain, we think a lot of these improvements will be sustainable and will stick, and it’s really just -- from -- certainly from a staffing perspective we’re going to see that. We’re able to operate a lot much more efficiently than we have historically. There’s been some offset of that as a result of rate growth, wage growth. But we’re certainly seeing an overriding benefit of staffing reductions. Second to that would be promotion and marketing. We think as long as the competition is rational, then a lot of that margin will stick. Certainly we’ve redeveloped kind of what we do from a pure business perspective, a good example of that would be buffets, you’re seeing a lot of companies starting just to cut that out as a -- which was historical whole loss leader. We’re doing that as well. And we also have had opportunity from renegotiating long-term contracts, as well as procurement arrangements that we think will have a long tail to that. So, yes, certainly there’s going to be a good portion of this margin improvement that we’re experiencing now is going to be sustained.
Barry Jonas: Perfect. And just a general question on your M&A pipeline, we’d love to sort of hear our pitch it is, but more so how you’re balancing sort of deals like The Association of Volleyball Professionals with Land Based expansion opportunities?
Steve Capp: Barry, Steve here. Good morning. Thanks for joining us today. Listen, we have established a -- what I -- what we think is a disciplined and focused M&A strategy from day one as a public company, actually from day one as a private company back in 2014 with our original acquisition of Hard Rock Biloxi. But we’ll continue that going forward. Look, it’s always a balancing act, right, for capital allocation between the deleveraging the business to the place where we would like this business to be longer term, blue, which by the way is approximately 4.5 times, with M&A and CapEx, so the Pennsylvania investment is just part of that balance, right, AVP from a content standpoint as part of that balance. I will tell you in 2021, yeah, this won’t be news to you. But to the Land Based M&A opportunities have been a little quieter than they were in a during a very tumultuous if opportunistic year for us in 2020. So we haven’t had to forego much there yet, because it hasn’t been much that has interested us. But look it will be balance going forward. And then I will tell you what the combination of Gamesys this year, the free cash flow profile of each of these companies, if you look historically, at the numbers, free cash flow conversion has been plus minus 90% on consolidated EBITDA for each of the businesses. So it’s a lot of capital to work with on a go forward basis, but we will maintain a balanced approach to it.
Barry Jonas: Great. Thanks so much, guys.
Steve Capp: Thanks, Barry.
Operator: And we will get our next question from David Katz with Jefferies.
David Katz: Hi. Good morning. I wanted to just follow up on the Interactive business with a couple of points. We obviously are starting to take a little closer attendance around, where the customer bases are coming from? Could you share any learnings that you may have acquired so far on what you consider to be your constituency and how separate it is, as this market becomes a bit more competitive, we’d love to hear any initial learnings from Colorado, Indiana with that in particular, but just getting a sense that you’ve carved out a niche for yourself.
Steve Capp: Well, David, hi. This Steve Capp here. Thanks for joining us this morning.
David Katz: Yes.
Steve Capp: Listen, I will tell you from an Interactive perspective, its early days, right? We have launched in Colorado and Iowa on a beta test basis without advertising support, as Adi mentioned. So I’m not going to say we have a ton of data. Adi also mentioned that we’re getting very positive feedback on the Bally’s Sports awareness through the rebranding of R -- Sinclair RSNs. So very early days for us, but let me kick it to Adi for any -- or George for any other observations at this point.
Adi Dhandhania: Thanks, David. It’s Adi and good morning. I agree.
David Katz: Good morning.
Adi Dhandhania: We don’t have a lot of data, as Steve alluded to, as relates to what we’re seeing in Colorado and Iowa. What we’ve noticed in terms of databases we’re pulling from, in Colorado, we have our physical casino database, we were able to cross-sell to that. We also had a Monkey Knife Fight database that we were able to cross sell to. And in Iowa, we tested the broadcast TV reach that Sinclair has and its early days, but we’re seeing good numbers in terms of impressions that are generated and we will track conversion coming out of the TV impressions that are being created in Iowa.
David Katz: Got it. And apologies, I said Indiana, I meant Iowa. It’s been one of those mornings. My second question is, with respect to the Land Based business and I’ve asked this before around whether there is an emotional change toward capital spending on some of the properties on let’s say, like a Colorado, set of assets, just given that the Land Based world has really shifted a bit coming out of COVID and what you might underwrite today would be different from the last time I asked the question probably 18 months ago?
Steve Capp: David, this is Steve. I’ll ask, maybe George can follow-up. But we’ve not fundamentally changed our view. We have a different operating model than some of our peers. George talked about kind of the way we inherited the Atlantic City property. It’s been a little under invested you might say. We don’t focus on -- we focus on increasing our EBITDA and margins by -- through a focus on customer amenities and the customer experience property-by-property. We’re an investor in those amenities and that customer experience. And so that’s an integral part of our strategy as the Land Based Casino experience and that kind of databases form a foundational piece of our omnichannel strategy. So we’re continuing to invest this to say the least. George, how would you follow up to that?
George Papanier: Yeah. Steve, the only I’ll add to that is, we’re going to continue to look for assets that we feel has upside. What I mean by upside is, you have touched on it. We’ve done a good job of acquiring assets for sub-7 times pro forma. Obviously, the last year it was even less than that. So we’re certainly going to look at properties that we feel we can improve. But also we’re going to continue to look at properties provide access to sports betting iGaming markets as well. So, that’s the first. To touch on what you said about Colorado using that as an example. Listen, we bought that asset, there is an opportunity for improvement of that asset, we could develop on top of parking structure, there is also adjacent land that we can develop on. Now, it’s really early days of monarch reopening. But we’ve always had to wait and see to see if they can really grow the market, obviously, primarily from Denver, as a result of their expansion. And based on that, there may be opportunity there for us from the development perspective.
David Katz: Understood. Thanks very much.
Steve Capp: Thanks, David. Appreciate it.
Operator:
.:
John DeCree: Good morning, everyone. I wanted to continue their conversation on the interactive business a little bit and realize there is a moving target, but launched into state of sports betting in beta, I was wondering if you could give us a little bit of an update on your expectations for the rest of the year and into 2022, as it relates to getting live in additional states. And in addition to that, when might you consider ramping up the marketing spend and really starting to push the app in Colorado, in Iowa and then subsequent states?
Steve Capp: Hi, John. Steve, here. Thanks for joining us. Nice new banner you’re flying for company colors there. Congratulations. Hey, listen, Adi, touched on this. And I’ll kick it to him in just a moment. But, look, we are really enthusiastic for the combination of Gamesys in the fourth quarter of this year. Their technology is leading edge. That’s going to lead to a 2.0 Version of the Bally Bet app and that’s going to be we think of transformational, that will layer into the rollout strategy into additional states. And more investment in the business even from a marketing standpoint is I had mentioned earlier on. So it’s very formative. We’re in very formative stages, very important transactional stages as this all comes together. Adi, you have -- what comment would you have?
Adi Dhandhania: Good morning, John. I agree, Steve. A lot of what we’re focused on right now is developing the 2.0 Version, which would involve the technology stacks of both Gamesys and Bet.Works. We’ve shifted our engineering resources away from launching additional states with our 1.0 Version to focus on the 2.0 Version. In addition to this, I would like to know that Gamesys already has an iGaming product that’s live in New Jersey and what we’re looking to do is develop our own version of the iGaming app and launch it later this year, early next year. And one point to note on Gamesys’ performance in New Jersey, with a B2B product as you may have seen in some of the numbers that come out from the industry, they have anywhere between 6% to 8% market share that they’ve had consistently. So you can imagine once we turn it into a B2C product and launch it, it would be very easy for us to ramp up and focus on developing that business further.
John DeCree: That’s a great color. Adi, thank you. Maybe the follow-up question perhaps for Steve, financing in place after last week now for Gamesys, I think, shareholder votes are done. So there is a little bit of a regulatory process ahead. You guys have talked about fourth quarter hopefully closing on Gamesys. I wonder if you could give us a high level update on what the milestones are from here, investors kind of ask us what they should be paying attention to, between now and closing to kind of track that progress?
Steve Capp: I tell you, John, great question. Progress has been significant though, as you mentioned right up to last week with the raising of all of that kind of global debt if you will by us in both the senior unsecured and senior secured credit markets. So, look, all the capitals in place now, right? The equity went very well. The debt went very well. We will globally refi all the debt against this all deb at Bally’s and fund the acquisition with all of these various proceeds. So, really good progress there. We’ve been spending a lot of time as a management team and a Board with Lee Fenton and his management team at Gamesys and early days, it’s going very well. Look, yeah, the remaining issues to close are simply regulatory in nature and customary, I would say. We have a -- we’re running the last of the traps in the United States regulatory markets and as well in the U.K., but there is very good progress there. It’s going well as usually does. These things as you know, always take a while six to nine months, we kind of flash that early on that is continuing to their expectation. So each regulatory milestone is very important, we focus on all of them. But I will tell you that it’s going well and we think that timing of implied timing right now is October to November timeframe. Looks like our best guesstimate at this point.
John DeCree: Right. Thanks Steve. Thanks, everyone.
Steve Capp: Thank you, John. Appreciate it.
Operator: And we have no further questions on the line at this time. This does conclude today’s Bally second quarter 2021 earnings conference call. You may disconnect at any time. Thanks. Have a wonderful day.